Operator: Good afternoon. My name is Dennis and I will be your conference operator today. At this time, I would like to welcome everyone to the Western Midstream Partners Third Quarter 2022 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Daniel Jenkins, Director of Investor Relations. Please go ahead.
Daniel Jenkins: Thank you. I am glad you could join us today for Western Midstream’s third quarter 2022 conference call. I’d like to remind you that today’s call, the accompanying slide deck and last night’s earnings release contain important disclosures regarding forward-looking statements and non-GAAP reconciliations. Please reference Western Midstream’s most recent Form 10-Q and other public filings for a description of risk factors that could cause actual results to differ materially from what we discuss today. Relevant reference materials are posted on our website. With me today are Michael Ure, our Chief Executive Officer and Kristen Shults, our Chief Financial Officer. I will now turn the call over to Michael.
Michael Ure: Thank you, Daniel and good afternoon everyone. Yesterday, we reported another quarter of solid operational performance at Western Midstream. We continue to experience robust activity from the Delaware Basin as we achieved record-breaking throughput for both natural gas and produced water for the second consecutive quarter in the basin. However, we experienced reduced excess natural gas liquids volumes in combination with lower natural gas liquids pricing, lower distributions from equity investments and higher operation and maintenance expense, which were the primary drivers behind the sequential quarter decrease in adjusted EBITDA. From an M&A perspective, we are pleased to announce both the acquisition of the remaining interest in the Ranch Westex natural gas processing plant in the Delaware Basin and the divestiture of our Cactus II equity investment. These activities align with our M&A strategy that has focused on adding processing capacity in our core basins, allocating capital efficiently and generating strong returns for our unitholders. Additionally, in conjunction with the Cactus II divestiture, the board has also agreed to materially increase our unit repurchase program, which Kristen will discuss in more detail shortly. Focusing on operations, subsequent to quarter close, we executed long-term amendments to Occidental’s gas processing and oil gathering agreements in the Delaware Basin. These amendments increased Occidental’s firm capacity on our infrastructure in the Delaware Basin and are supported by substantial minimum volume commitments. We also executed multiple new natural gas and condensate agreements with various customers in the Maverick Basin. Before I turn the call over to Kristen to discuss our financial results I wanted to express my enthusiasm regarding the recently announced letter of intent with Occidental that we press released early in October. This agreement signals our desire to jointly pursue opportunities to deliver low carbon intensity oil and gas products to market through the development of carbon dioxide capture, transportation, utilization, and sequestration opportunities in both the Delaware and DJ Basins. We are pleased to continue our long-standing relationship with Occidental and look for ways to partner with them on carbon capture activities. And we are excited at the prospect of potentially expanding our service offerings in ways that would not only reduce our own carbon footprint, but potentially help other point source emitters reduce their carbon emissions as well. With that, I will now turn the call over to Kristen to discuss our third quarter financials. Kristen?
Kristen Shults: Thank you, Michael and good afternoon everyone. During the third quarter, we generated net income available to limited partners of $260 million and adjusted EBITDA of $525 million. Relative to the second quarter, our third quarter adjusted gross margin decreased slightly as increased throughput across all three products in the Delaware Basin was offset by lower distributions from equity investments and lower excess natural gas liquids volumes under our fixed recovery contracts in combination with lower overall natural gas liquids pricing. This was partially offset by increased product-based service revenues associated with utility expenses in the Delaware Basin. Our operation and maintenance expense increased by approximately $22 million in the third quarter, primarily due to previously disclosed field-level project costs to support our transformation efforts. Our utility costs also increased quarter-over-quarter driven by higher natural gas prices and higher utility usage, which is typical during the summer months. However, generally, more than 50% of our electricity costs are reimbursed either through cash reimbursement of electricity costs or contribution of gas for reimbursement of electricity equivalent costs. We expect O&M expense in the fourth quarter to decrease from our third quarter results and be slightly higher than our second quarter results driven by lower utility costs from reduced natural gas prices and usage declines that are typical during the winter months. We expect these reductions to be partially offset by higher surface use fees as our produced water throughput increases throughout the fourth quarter. Turning to cash flow, our third quarter cash flow from operations totaled $469 million, generating free cash flow of $330 million. Free cash flow after the second quarter distribution payment in August totaled approximately $133 million. Additionally, our continued focus on efficient capital allocation has enabled us to return more value to our unitholders. Since we announced our unit buyback program in February, we have now repurchased just over 18.5 million common units for aggregate consideration of $460.7 million or an average price of $24.89 per unit. This includes the 10 million common units purchased from Oxy in July and all market activity through October 28. We also recently declared a third quarter cash distribution of $0.50 per unit payable on November 14. This distribution is equal to the prior quarter’s distribution and is consistent with the previously announced annualized base distribution target of $2 per unit. In conjunction with the divestiture of our Cactus II equity investment, the Board has approved a $250 million increase in our unit repurchase program to $1.25 billion. The program will continue to run through December 31, 2024. We remain committed to our financial policy, which includes our enhanced distribution framework. As discussed last quarter, the decision to pay an enhanced distribution is subject to the Board’s discretion and will partially depend on our financial performance for the remainder of the year. We expect the size of any enhanced distribution would be determined by the lesser of excess free cash flow or the amount of cash available for distribution that still allows WES to meet its 3.4x year-end leverage threshold. If you recall, any capital used to pay an enhanced distribution must be considered when calculating WES’ compliance in achieving its year-end leverage threshold. Additionally, we consider borrowings under our revolver to be a component of our optimal capital structure. Thus, as it relates to 2022, the amount of debt we ultimately pay off on the revolver at year-end will impact the size of any potential enhanced distribution. Overall, we feel confident that our strong free cash flow generation profile and liquidity position provides us a great foundation to continue returning capital to unitholders as we head into 2023. Looking to the fourth quarter, we expect throughput to increase sequentially across all 3 products in the Delaware Basin, but at a reduced rate of growth relative to our prior expectations. This is primarily due to supply chain and human capital constraints experienced by our producers across the Delaware Basin portfolio that are driving delays in wells coming online. Additionally, we now expect some fourth quarter wells to shift out of 2022 and into early 2023. Relative to prior quarter expectations, we now expect this reduced rate of growth to have a slight negative impact on our portfolio-wide 2022 throughput for crude oil and natural gas liquids volumes and produced water volumes. As a result, when comparing average fourth quarter 2021 throughput to expected average fourth quarter 2022 throughput, we now expect crude oil and natural gas liquid growth to be relatively flat. When comparing produced water and natural gas throughput over the same time period, we expect upper-teens percentage growth for produced water and mid single-digit percentage growth for natural gas throughput. We expect these changes to result in WES reaching the low end of our previously disclosed 2022 guidance range for adjusted EBITDA and depending on our working capital position at year end, the low end of our 2022 guidance range for free cash flow. We also expect to reach the low end of our previously disclosed capital expenditure guidance range for 2022 as certain capital expansion projects and spending associated with the construction of Mentone Train 3 have moved into early 2023. While the long lead equipment has been ordered, we expect the majority of costs associated with the expansion to be realized in 2023. With that said, we remain on track to reach start-up in the fourth quarter of next year. Turning our attention to 2023, based on current producer forecasts, we expect our throughput exit rates to grow year-over-year across all 3 products. As we discussed last quarter, we continue to actively manage our supply chains and the impact of inflationary cost pressures, but we expect these cost pressures to continue impacting our operation and maintenance expense next year. In the coming months, we will receive final budgets from our producers, and we will calculate the annual cost of service rate readjustments based on revised producer throughput forecast and our year-end financials. We plan to provide further details when we announce 2023 guidance with our fourth quarter and year-end earnings. I’ll now turn the call back over to Michael to discuss our operational performance in the third quarter. Michael?
Michael Ure: Thank you, Kristen. On a sequential quarter basis, natural gas throughput remained flat as incremental throughput in the Delaware Basin was primarily offset by decreased throughput from our equity investments. Our per MCF adjusted gross margin for our natural gas assets decreased by $0.03 compared to the prior quarter, primarily due to decreased distributions from our equity investments and lower excess natural gas liquids volumes under our fixed recovery contracts in combination with lower natural gas liquids pricing. This was partially offset by increased product-based service revenues associated with utility expenses in the Delaware Basin. Our crude oil and natural gas liquids throughput increased by 7% compared to the prior quarter. This was primarily driven by increased throughput on our equity investments. Our per barrel adjusted gross margin for our crude oil and natural gas liquids assets decreased by $0.24 compared to the prior quarter, primarily due to expected lower distributions from our equity investments that we highlighted on last quarter’s call. Produced water throughput increased by 2% compared to the prior quarter due to increased volumes in the Delaware Basin. Our per barrel adjusted gross margin for our produced water assets increased by $0.04 compared to the prior quarter due to increased deficiency fees and changes in contract mix. As I mentioned earlier in the call, our teams have created substantial value for WES through recent commercial success and M&A activity. Shortly after quarter end, we executed 2 long-term contract amendments with Occidental. First, we executed an amendment to Occidental’s existing gas processing agreement in the Delaware Basin to provide up to 250 million cubic feet per day of peak additional firm processing capacity. Second, we executed an amendment to Occidental’s existing oil gathering agreement in the Delaware Basin to provide up to approximately 57,000 barrels per day of peak additional firm treating capacity. Both amendments are supported by significant corresponding minimum volume commitments and reflect new firm commitments for volumes that were previously forecasted. These amendments also reflect Occidental’s commitment to growing throughput in the Delaware Basin and we look forward to supporting their growth initiatives for years to come. We also executed multiple long-term agreements after quarter end with several new customers in the Maverick Basin on our South Texas assets, including new natural gas gathering, condensate gathering and condensate stabilization agreements. Turning towards the DJ Basin, we continue to be encouraged by the success producers are seeing with both the approvals of oil and gas development plans or OGDPs as well as large comprehensive area programs by the COGCC. 50% of the total well count, receiving permit approvals in OGDPs this quarter, are located on acreage we service, of which we predominantly expect to benefit from in 2024 and beyond. We will continue to keep a close eye on the permitting environment and producer forecast as we head into 2023. From an M&A perspective, we closed on the acquisition of the remaining 50% interest in the Ranch Westex natural gas processing plant in the Delaware Basin for $41 million, providing us immediate access to 125 million cubic feet per day of incremental operated processing capacity. This acquisition aligns with our focus on efficiently growing our processing capacity in the Delaware Basin through organic growth or strategic bolt-on opportunities. Prior to this transaction, Ranch Westex was an equity investment and is now part of our West Texas complex effective September 1. Additionally, subsequent to quarter end, we sold our 15% interest in our Cactus II equity investment for approximately $265 million, which includes approximately $2 million of pro rata distribution through closing. This strategic divestiture will allow us to continue the flow of capital back to our unitholders as demonstrated by the increase of our previously announced unit repurchase program. Turning back to capital returns. I am very proud that WES continues to be a leader in returning capital to stakeholders, not only amongst our midstream peers and large-cap, publicly-traded midstream companies but also relative to the S&P 500 and the S&P 500 Energy Index. From a free cash flow yield perspective, WES has maintained the highest free cash flow yield relative to our midstream peers, large-cap, publicly-traded midstream companies, the S&P 500 Energy Index and by an even greater degree relative to the S&P 500, it is also interesting to note that WES has outperformed the exploration and production dominated S&P 500 Energy Index despite the fact that those companies have benefited greatly from higher oil prices over the past several quarters. Adding price-to-earnings ratios to the analysis, you can see that WES presents an attractive investment opportunity for new capital that migrates back to the midstream space. Additionally, from a total capital return yield perspective, which focuses specifically on distributions and buybacks, WES’ outperformance relative to midstream peers and the market as a whole is even more profound. WES is the only one of 2 enterprises that has generated a superior total capital return yield using a balanced approach between distribution increases and unit buybacks. In addition to distributions and unit repurchases, WES significantly reduced debt through open market repurchases and retirements as notes came due. This three-pronged balanced approach to returning capital to stakeholders place WES higher than all of our midstream peers and large-cap midstream companies. One of the main ways that WES has been able to demonstrate this leadership is through our leading position in generating returns on capital employed. I’m very pleased with our financial track record since becoming a stand-alone entity as we have focused on prudent capital allocation, creating operational efficiencies and generating strong returns for our stakeholders. Finally, as we turn our attention to the future, WES is well positioned despite the current macroeconomic and commodity price volatility. Our resilient contract structures provide protection during periods of market volatility, and our asset base is located amongst top-tier acreage in core U.S. basins that continues to attract capital. We also maintain a healthy balance sheet with our debt to trailing 12-month adjusted EBITDA leverage ratio below our year-end threshold of 3.4x. Going forward, we will continue to focus on all three pillars of our balanced capital allocation strategy, which positions WES as a leader in generating substantial value for stakeholders in terms of total capital return. Before we close the call, I would like to take a minute to recognize our employees and contractors for their continued hard work and dedication to WES and exemplifying our partnership’s core values every day. Because of your efforts, WES is well positioned to finish 2022 on a high note and achieve additional success in 2023. With that, we will open the line for questions.
Operator: [Operator Instructions] And your first question is from the line of Neel Mitra with Bank of America. Please go ahead.
Neel Mitra: Hi, good afternoon. I just wanted to clarify a little bit more on the comment around producer activity and timing. Are you seeing any pullback in activity or is stuff just being pushed to the right? And if you could provide a little bit of detail around that, how much and if it’s the super majors, the independence of the private, just what you’re seeing there?
Michael Ure: Yes, Neel, it’s a great question. Actually, it’s the latter, not the former. In other words, we’re just seeing a little bit longer time to get the wells to market as a result of some of the supply chain and human capital challenges that really everyone in west Texas is experiencing right now. So it’s really just a timing issue or a push to the right, if you will, as it relates to activity. Not seeing any instances of folks desiring to pullback at all.
Neel Mitra: Got it. And just for a follow-up, are you seeing any of your customers maybe pulling back activity or thinking about that in ‘23, just due to the natural gas egress constraints out of the Permian and what could be big Waha basis blowouts in 2Q and 3Q?
Michael Ure: At this stage, we certainly haven’t seen any indications of any pullback on activity levels on our position. There is a great inventory in ‘23.
Neel Mitra: Okay, thank you very much. Got it. Thank you very much.
Michael Ure: Thanks, Neel.
Operator: Your next question is from the line of Keith Stanley with Wolfe Research. Please go ahead.
Keith Stanley: Hi, good afternoon. I guess, first, could you maybe talk to what drove the decision to try and monetize Cactus II now versus previously? And when you look at your portfolio, are there other jointly-owned pipelines that possibly could make sense to divest as well?
Michael Ure: Yes. So we’ve always actually maintained a posture that – for those equity investments that we would be interested in monetizing, should the valuation actually meet perspective, where we think it makes sense. And so our perspective never really changed around it. It was just a matter of strategically felt as if our partners were to a stage where they desire to go ahead and own more of that interest. And from our perspective, we actually sought as a really attractive opportunity for us to recycle those proceeds back into repurchasing more of WES, and so all of those stars aligned for us to execute on that today. As it relates to our other interest, we have the same posture around them. If there is a valuation that would make sense to monetize those, then we would certainly consider doing that.
Keith Stanley: Thanks. And second question, just the Ranch Westex acquisition. Do you still need to offload volumes in the Delaware right now or does that catch you up and just an updated outlook for offloads through next year, please?
Michael Ure: Yes, great question. So we feel comfortable today that with the existing offload arrangements that we have, and some of those will continue into 2023 with the addition of Ranch Westex, that we’re comfortable with we are – where we are from a total processing complex to bridge us to get to Mentone 3. So worked really well for us to bring that into our processing stack so that we could operate it and direct volumes there to bridge us to when Mentone gets completed.
Keith Stanley: Thanks.
Operator: [Operator Instructions] Your next question is from the line of Jeremy Tonet with JPMorgan. Please go ahead.
Jeremy Tonet: Hi, good afternoon.
Michael Ure: Hey, Jeremy.
Jeremy Tonet: So just wanted to follow-up on Cactus a little bit more, if I could. We were going through some numbers here, and it looks like it was 13x trailing. Just wanted to see if that was kind of puts us what you guys were seeing? Or are there other elements to think about in the economics there? Just wondering, are there any other opportunities to kind of very rich recycling to drive up more buybacks there?
Michael Ure: Yes. So I think the best thing that I could do there, Jeremy, would be to direct you to the distributions that we outlined in our filings for the last 12 months trailing. Those distributions totaled about $24.8 million. So I think that’s the best thing I can do in terms of driving ultimate multiples. We’re constantly out looking for opportunities where we can monetize assets like this that obviously are very valuable. But where they might have greater value in someone else’s ownership that we can recycle into buying back more West units, which as you’ve seen throughout the past couple of years and certainly this year, that is a tool that we like to utilize to repurchase more of our own units out there.
Jeremy Tonet: Got it. That’s helpful there, thanks. And then I just want to shift to the DJ a little bit more and kind of get a feeling for what you’re seeing out there for activity. With Oxy, it seems like there might be some pickup there. So just wondering what you could share as far as outlook at this point.
Michael Ure: Yes, we’re actually quite optimistic. As more approvals have come through, it seems as if – there has been a better cadence as it relates to those approvals overall. So as we talk to our customers in the DJ for the most part, the 2023 drilling plans are largely approved already, and a lot of the new approvals that are coming in are making us optimistic as it relates to 2024 and beyond. So increasingly optimistic overall as it relates to activity levels out there. As we mentioned on the call, about half of those approvals are actually on acreage, the WES services. So it’s not only just getting approvals in the DJ, it’s also in approvals in areas that we service. So starting to get a lot more optimistic that as things go through the system, there can be a better cadence and a more predictable activity level going forward out there.
Jeremy Tonet: Got it. That’s helpful. One last one, if I could. Just as we think about supply chain issues as it impacts producers out there, any more color you could share with regards to time line of how you see that might be cleaned up? And is there much of a difference between the kind of the publics and the privates as part of the issues they face there behind your systems?
Michael Ure: No. I can’t say that there is a real difference that we found. It’s sort of across the board when you’re talking about. Availability of resources; frac crews; frac equipment; inputs, not just on the frac side, it’s across the board, where everyone is struggling overall to get, again, the timing that was expected at the beginning of the year. For the most part, everyone is still being able to get everything online. It’s just taking a little bit longer than would have been the case. I wish I could point you to an exact time at which that will sort of alleviate. It seems to be a bit of a global problem, human capital and supply chain issues, and it’s definitely finding its way in the Permian overall. So the reason for the reset on the guidance side is just as a result of we do expect that will certainly trend through the end of the year, and therefore, will be a little bit longer before those wells will come online.
Jeremy Tonet: That’s very helpful. I will leave it there, thanks.
Michael Ure: Thanks.
Operator: Your next question is from the line of Gabe Moreen with Mizuho. Please go ahead.
Gabe Moreen: Hey, good afternoon, everyone. Not quite sure how to ask this, but the new agreements with Oxy, it notes that some of those volumes you had been previously forecasting. Can you just talk about what going to a firm commitment? I guess means that the change the economics at all in terms of your agreements there. Does it support the Mentone expansion? And also, is there any implications for any cost-of-service stuff? So maybe I’ll just leave it at that.
Michael Ure: Yes. No, great question. Yes. So these were all volumes that we expected to come through the system. They were just on an interruptible basis. And so in light of the tightness overall that we’re seeing across our system and in light of the confidence that Oxy feels with regards to the delivery of those volumes, we went to a firm commitment level of service with regards to those volumes. And so what that means is that on an interruptible basis that firm commitments get priority as it relates to processing of things that get tight. If you’re on a firm basis, then obviously, we have a commitment that we’re going to go ahead and process those volumes. And so as there was increasing confidence overall with regards to the growth, from Oxy over there, along with the tightness that we were seeing overall in the system or in the complex, in light of a lot of the recent meaningful commercial successes that we’ve had out there, it just made sense for both parties to actually change the level of service with regards to the volumes coming through the system. In addition to that, they are signing up to minimum volume commitments overall to illustrate again the commitment level that they are providing in order to get access to these – to this firm commitment service that we’re offering out.
Gabe Moreen: And then maybe just a quick one on these excess liquids recoveries, is that strictly a function of ethane rejection or not or is – are there other things also going on there?
Michael Ure: Yes. There is – again, it has a little bit to do with pricing, right? So again, what we saw in the third quarter was a little bit of impact overall on pricing as well as the optimization through our system as a whole. As we get into a lot of the warmer months, it just becomes a little bit more difficult to be able to optimize the recoveries overall. So that’s really what we saw in the third quarter. Kristen, anything else that you would add there?
Kristen Shults: Yes. I think kind of touching on that, we talked earlier in the year that we had entered into some of our contracts from actuals to fixed recoveries. And so that’s where this dynamic is coming out, is that we now have more gross margin upside as it relates to these retained volumes. And so obviously, those volumes are going to have commodity price sensitivity. And so as we are seeing commodity prices change quarter-over-quarter, some of that’s going to come out in the gross margin?
Gabe Moreen: Thanks. And then if I could just ask one more on sort of the approach to CCS and how you envision WES’ role within that business. Is it fair to say that you’re kind of taking a midstream approach where you’re going to be concentrating on maybe transporting the CO2 or to Univision, I guess, having other parts of the chain within CCS?
Michael Ure: Currently, the thought right now is that it would be primarily focused on, call it, the midstream-oriented transportation and infrastructure portion of that. Obviously, it would also include some capture at our facilities to minimize the environmental footprint of our facilities as a whole. And so that’s the primary focus again. We’re still in the stage right now to work out all the details of how that might look in a more fulsome and detailed manner. But conceptually, that’s certainly the way that we’re looking at it.
Gabe Moreen: Great, thanks, guys. 
Michael Ure: Thank you.
Operator: There are no further questions at this time. And Mr. Ure, I turn the call back over to you.
End of Q&A:
Michael Ure: Thank you, everyone, for joining our third quarter call. We look forward to discussing our fourth quarter and year end call the first part of next year. Thanks everyone.
Operator: This does conclude the Western Midstream Partners third quarter 2022 earnings conference call. Thank you for your participation. You may now disconnect.